Bettina Orlopp: Good morning, ladies and gentlemen. Welcome to our earnings call for the fourth quarter of the financial year 2020. 2020 has, to a large degree, been shaped by the corona pandemic. We have taken on the resulting challenges and charted our way forward. This is clearly visible in the results, which are burdened by effects from the pandemic, but also reflect our strategic decision to transform Commerzbank in the years ahead. We have invited all of you to our Capital Markets Day this afternoon, where we will discuss our transformation agenda. In this call, therefore, I will focus on 2020 and will leave details on strategy for later. So let's start directly with the financial performance of the year. Overall, the customer business has held up well. We increased our commission income by 9%, mainly thanks to the very strong securities business throughout the whole year. This has almost compensated the drag from the pandemic and the interest rate environment.  However, revenues have been impacted by €229 million legal reserves for Swiss franc mortgages in Poland. This has reduced total underlying revenues to €8.4 billion. In 2020, we focused on cost management. Operating expenses are more than €200 million below our initial guidance. Obviously, this is only the start of a very intensive cost management program that we will execute over the next years. While the underlying business has been resilient in the pandemic and the quality of the loan book remains strong with an NPE ratio of 1%, the risk result is obviously substantially impacted. More than half of the €1.75 billion risk result is related to the corona pandemic. This includes a €505 million top-level adjustment for effects that are anticipated today and are expected to materialize in 2021. This has led to the operating loss of €233 million for the year. In 2020, we started to lay the foundations for the transformation of Commerzbank. We permanently closed around 200 branches and initiated significant staff reductions. We cleaned up our balance sheet, writing off the whole remaining goodwill. While these measures led to a net loss of €2.9 billion, the goodwill write-down does not, as you know, affect our CET1 ratio. We have taken active RWA management actions, and despite headwinds from the pandemic, we managed to reduce our RWA to €179 billion. This is €3 billion below the level last year. We therefore end the year with a capital ratio of 13.2%, which is equivalent to 370 basis points over regulatory requirements. This strong capital base is a solid starting point for our transformation. Let's move to Slide 2 and look at the first steps of our transformation that we have already initiated in 2020. In 2020, we shut around 200 branches. A further 200 were closed at the end of the year as a consequence of the pandemic. The negotiations are not finalized, but I expect most of these branches not to reopen again as part of our transformation. We have also initiated several programs that will lead to a reduction of around 2,900 FTE. In 2019, we had already booked restructuring charges for a reduction of 800 FTE. In booking the €614 million charge in Q4, we were rather conservative with our assumptions, as we had not yet agreed upon the details of the measure. Negotiations with the workers' representatives on these reductions will be combined with the negotiations for the additional FTE reductions resulting from the transformation program. Let's move to the next slide and the financial highlights. The net loss was due to the impact of the pandemic, the goodwill write-off and the restructuring charges taken for the transformation. At the same time, the underlying pre-provision result has held up well despite the pandemic. When excluding the €229 million addition to Swiss franc legal provisions in Poland, the underlying pre-provision result is slightly up compared to last year. All regulatory ratios remain strong. In 2020, the exceptional revenue items on Slide 4 add up to minus €260 million, also burdening our results. The main drivers are valuation effects, in particular [indiscernible] and a €70 million valuation loss from our U.S. dollar AT1 due to the weaker dollar in 2020. This FX sensitivity is economically hedged over the lifetime of the instrument but causes temporary valuation effects in P&L. Slide 5 shows revenues and results of the division. As mentioned, PSBC reported strong underlying revenues. They are slightly below last year only due to the booking of €229 million legal reserves for FX mortgages in Poland. Corporate Clients revenues were more strongly affected by the pandemic. Others & Consolidation reflect valuation effects caused by the pandemic and some balance sheet cleanup. These are partly offset by, again, positive contributions of Commerz Ventures, mainly from valuation effects and some realized gains from the partial sales of holdings. There is uncertainty with regards to the development of the crisis and potentially resulting valuation effects. Nevertheless, we again expect an operating result of around minus €150 million in Others & Consolidation for the full year 2021. On Slide 6, we show the longer-term development of underlying revenues. Clearly, the underlying customer business has held up well. Growth in commission income has more than compensated the decline in underlying interest income. This was a solid achievement given the headwinds of the pandemic. Looking further ahead to 2021, we expect to continue seeing relatively strong commission and interest income from PSBC. The interest income in corporate clients is expected to be impacted by the transformation and focus on capital efficiency as well as lower liquidity needs by our customers. More on this later when we look at the segments in more detail. Now let's move on to Slide 7 and a drill down into the group P&L with a focus on the developments in the fourth quarter. As in 2020 overall, our customer business has held up well in Q4. Year-on-year commission income is up 6% in Q4. The lower interest income is partly due to lower contributions from legacy assets and Others & Consolidation. Lower lending and transaction banking volumes in Corporate Clients and lower contributions from deposits in PSBC also had an impact. The negative revenues in Other income are mainly due to the booking of additional €113 million legal reserves for Swiss franc loans in the quarter. All in all, the operating result of Q4 came in at minus €328 million, driven by the corona-related part of the risk result of €464 million. The majority comes from the increase of the top-level adjustment to €505 million at year-end for effects that are anticipated today and are expected to materialize in 2021. Q4 tax expenses of €264 million reflects taxable income in locations outside of Germany. The biggest contributor is mBank, as reserves for Swiss franc loans and compulsory contributions are not tax deductible in Poland. In addition, we wrote down €83 million deferred tax assets, mainly due to our decision to close some foreign locations. The tax rate in 2021 will, among others, be influenced by one-off bookings like the restructuring charges. From today's perspective, I anticipate a positive contribution from taxes in the net results. This is due to the fact that we expect to book before-tax assets more than compensating the taxes paid in the year. Let's carry on with costs on Slide 8. We managed our costs below the previous year's level and €200 million below the original cost target. This has been achieved by consistent focus on strict cost management throughout the year. With this, we have reduced the directly manageable operating expenses by €153 million. Key drivers of more than €100 million savings in administrative expenses are advertising, travel and lower depreciation. On the staff cost side, the €43 million savings benefit from a net FTE reduction of roughly 900 FTEs. 1,100 FTE reduction of domestic staff stood against 200 additional FTES, primarily in the subsidiaries and nearshoring locations. Regarding compulsory contributions, most of the increase of roughly €59 million stems from external developments, be it a higher target volume for the single resolution fund, higher deposits overall in the system that need to be covered or higher banking tax in Poland for mBank. Let me move on. Slide 9 provides you with the update on guaranteed loans and deferrals. The picture is largely unchanged since last quarter. Customers continue to draw on KfW-guaranteed loans with a quarterly increase remaining at a consistent level. On loan deferrals, the vast majority of the deferrals already ended according to schedule within Q3. Around 97% of customers have resumed regular payments after the moratorium ended and have maintained this throughout the fourth quarter. A trigger for potential defaults in January was the reinstatement of the insolvency law in Germany on first of January 2021. Thus far, we have not seen a significant effect from this. Also the second lockdown has only had a limited effect on default so far. And there are still exemptions in the insolvency law for mainly small companies that have received direct state aid, as they are strongly affected by the second lockdown. Let's move to Slide 10 and the effects of the pandemic on the risk result. Our Q4 risk result of €681 million is basically split into 3 buckets. First, our base risk result of €205 million. This covers all cases which would probably have happened even without the crisis. And we are also prudently topped up the reserves for the large single case from the second quarter. Second, €105 million from corona-related single cases. This is on the same level as Q3. Third, we have booked an additional €359 million top-level adjustment to cover expected future requirements. At year-end, the TLA stock stands at €505 million. The top-level adjustment is based on an in-depth portfolio review considering the ECB's December scenario. We have also taken into account that expected impact of the second lockdown, including the additional restrictions imposed in January. Potentially, more severe and longer-lasting lockdown measures that would effectively constitute a third lockdown have not been taken into account in the calculation. Let me carry on with Slide 11 and risk provisioning on the segmental level. The €505 million, 3/4 of the Q4 results, stem from Corporate Clients driven by the corona effect. A further €118 million stem from PSBC, with mBank contributing €57 million. In Others & Consolidation, we have taken €57 million provisioning for 2 legacy real estate positions from the former [IACR] unit. Please note that we have again provided a slide on the development of the different stages. You can find it in the appendix on Page 23. In Q4, we haven't seen significant movements in provisions between stage 1 and stage 2. Volumes and expected losses remain in the same ballpark as pre-crisis. Instead, we have added provisions in form of the TLA that are mainly for stage 2. Including the TLA for currently expected corona-related effects in 2021, we have a cost of risk on loans of 68 basis points in 2020. With the €505 million TLA already booked, we expect a risk result in the range of €800 million to €1.2 billion in 2021. This is equivalent to a cost of risk between 30 and 45 basis points. This range has to be seen in light of the ongoing uncertainty about the trajectory of economic development, which in turn depends on the further development of the pandemic. Now let's carry on with the operating segments, and let me start with Private and Small-Business Customers on the next 2 slides. Firstly, I would like to comment on our net new customer growth. In 2020, we managed a growth of 375,000 net new customers in Germany. A lot of these were acquired digitally at a significant reduced acquisition cost. Going forward, we will primarily focus on customer profitability and expect some churn from our transformation program. We will continue to attract customers with our competitive offerings at a lower speed and with lower acquisition costs. As we integrated comdirect in the fourth quarter, we now have roughly 500,000 customers with accounts at both Commerzbank and former comdirect, and we'll track these going forward. To have a clean starting point, we have adjusted the calculation of our customer base for around 340,000 inactive customers who didn't generate any revenue. This adjustment is obviously technical and has no bearing on active customer numbers or revenues. Business volumes have grown steadily throughout the year. Both the securities volume and the mortgage volume have developed very well. We attracted nearly €12 billion net new money in securities and have the best ever new business volume in mortgages. This growth in mortgages even came at slightly improved margins. In 2020, the margins on the front book were finally better than in the back book. The increase in securities volume is also based on a steadily rising number of securities accounts. Not only have accounts increased, but also trading volumes are up substantially. All this indicates an increasing willingness of Germans to invest and actively trade in securities. We expect this to continue in 2021. Clean revenues in Germany, as you can see in the table on Page 13, were stable compared to last quarter and also last year. The loan growth in mortgages and the fee business compensate for the ongoing burden from the negative rate environment. mBank has also performed well with underlying revenues at the same level as in Q3, especially considering that we booked €113 million additional legal reserves of Swiss franc mortgages in the quarter. Further burdens from the Swiss franc mortgages strongly depend on the developments in Poland. At the end of March, a decision by the Polish Supreme Court is expected on this matter. This should give some increased clarity. Looking at the big picture. When excluding the legal reserves booked for Swiss franc mortgages, the operating result has been very steady each quarter in 2020. Furthermore, take into account that the risk result at €308 million higher than in 2019, due to the pandemic, the underlying business has clearly put in a strong performance. Now let's move to Corporate Clients on the next 2 slides. In Corporate Clients, we have intensified our active portfolio management. In particular in international corporates, we reduced capital-efficient -- inefficient, very important, capital inefficient exposure. This is the main driver of the reduced loan volumes in Q4. At the same time, our Mittelstand customers have reduced the drawings on their credit lines as they have lower liquidity requirements. These are, to a significant degree, driven by the effects of the pandemic, with lower investment needs and liquidity support from the government, including payments for short-term work or furlough schemes.  This lower volume of drawing increases the challenge to reach the loan volume required for the TLTRO by the end of Q1. We are closely monitoring the respective volumes while continuing to primarily focus on our strategic agenda. We do not intend to expand business outside of our risk appetite, and we maintain our focus on improving profitability. Revenues from customer business have overall been slightly lower year-on-year. Stronger capital markets business could only partially compensate for lower revenues from commercial banking. In Q4, non-customer-related revenues came in at minus €6 million. This was mainly due to some positions for which corona impacts are reflected in valuations rather than in risk result. In addition to the reduction in loan volumes resulting from our strict RWA management, we have also securitized a portion of our SME loans. Together, these measures have reduced RWA by net more than €5 billion despite some increases in RWA from corona effects. While reducing RWA, the securitizations will also have an impact on NII. This leads to Slide 16 and the risk-weighted assets. Quarter-on-quarter, RWAs came in around €5 billion lower, at €179 billion, due to the lower risk credit risk RWA. The reduction is the net effect from larger underlying movements that partially cancel each other out. The lower loan volumes have also resulted in reduced RWA.  On top of that, we have reduced RWA by around €4 billion through securitizations. This active RWA reduction has been partially offset by €4.7 billion of corona-driven prudent parameter adjustments, mainly rating migrations. The finalization of the TRIM results for retail and small corporates added around €600 million RWA. We expect a small single-digit billion RWA effect from the finalization of the remaining TRIM examinations for which we have not yet received the final results. They are expected to come in the first quarter of 2021. And we also expect further pressure on ratings as the lockdown persists and budget for a single-digit RWA increase in Q1. Let's move to Slide 17 and our CET1 ratio. The CET1 ratio reduced in the fourth quarter owing to the net loss. This was partially offset by lower RWAs and the changed treatment of software. The resulting CET1 ratio is a still healthy 13.2% and around 370 basis points above MDA at the end of the quarter. This is well above our midterm target range of 200 to 250 basis points through the cycle. Due to the expected RWA increase, as mentioned earlier, and the implementation of our transformation program and resulting upfront burdens, we expect to see a further reduction of the CET1 ratio this year. Having said that, we expect to remain above our midterm target range. Now let me wrap up the quarter with some key messages and conclude with our outlook on 2021. First, our customer business has held up well in the pandemic, and we see positive development in the fee and mortgage businesses. Second, we have already booked €505 million of top-level adjustments to cover the effects from the corona pandemic that are anticipated today and are expected to materialize in 2021. Third, our focus on cost management shows the first results, with more to come. Fourth, our CET1 ratio remains strong and provides us with headroom for further impacts from the pandemic and our transformation. Fifth, we have established a solid foundation for our fundamental transformation that we will cover in detail this afternoon. Now let me conclude with the objectives and expectations for 2021. Compared to last year, we expect slightly lower revenues. This reflects RWA optimization and focusing of our operations in the transformation. We will provide more on this in the presentation this afternoon. We continue our cost management and target a cost base of around €6.5 billion, while increasing investments for the transformation. We expect a risk result in a range of minus €0.8 billion to €1.2 billion. Where we will end up in the range depends on the further development of the crisis. We expect a CET1 ratio above 12% after booking additional restructuring charges of around €900 million and expected effects from rating migrations and regulatory effects like TRIM. We expect a positive operating result despite the impact from the pandemic on the risk result. Thank you very much for your attention, and I'm now very happy to take your questions. And as mentioned at the beginning, I would like to focus on the 2020 financial results. We will take in-depth questions on the transformation during the Capital Markets Day this afternoon.
Operator: [Operator Instructions] I actually have already quite a few questions coming in. And the first question comes from Mr. Benjamin Goy of Deutsche Bank.
Benjamin Goy: Quick question on your comments around net interest margin. The commentary around mortgages sounded quite good. Just wondering, when you think about lower revenues and net interest income in 2021, is it mainly a function of volume? Or should we also expect continued headwinds from margins? And then secondly, your securitizations in the fourth quarter were quite significant. I was wondering about the criteria about what to securitize because you might argue SME loans are part of your core holdings. So is it risk? Is it really capital efficiency? Or is it also to increase the buffer for the upcoming restructuring charges?
Bettina Orlopp: Yes. Thank you, Benjamin. So on the net interest income, I mean it's really mainly due to 2 factors. One is clearly that we will see additional drag on the NII because of the interest rate environment, that's for sure, specifically on the private client side, but also on the Corporate Clients side. And second, we also -- I mean, we will see effects from the securitization, which we have done and which we plan also to do this year, plus the focusing activities, which we will describe in more -- sorry, which we will describe in more detail this afternoon on the Corporate Clients side. With respect to securitization criteria, I mean this is the portfolio of SMEs we have taken and the key objective is clearly to basically also provide some flexibility with respect to the capital -- with respect to the capital ratio.
Operator: The next question comes from Ms. Izabel Dobreva of Morgan Stanley.
Izabel Dobreva: First, I had a question on your net interest income. On one of the slides, you talk about very fast growth in the German mortgage market with originations of 40% and also better margins with the front book above the back book. So this all sounds relatively encouraging. Could you give us a sense of what the start to the year looks like in terms of NII and how you see the full year evolving? That was the first question. Then my second question is on revenues. You have guided the total revenues to be lower, slightly lower next year. And as I understand, a lot of that comes from the active RWA management securitizations that you're doing. But could you tell us what the underlying trend for revenues would be expected to look like excluding those active RWA exits? Would you see revenues to be stable or improving on a clean basis? And then my final question is on the loan loss guidance. I wanted to ask you how you see the outlook for next year between the range you have given us. Because if I look at your clean cost of risk for 2020, excluding Wirecard and front loading, the provisions were running at about €600 million. So how would you see the risk distribution sitting between the €800 million to the €1.2 billion guidance? Would you say that the risk, more likely it will be in the lower end of that guidance?
Bettina Orlopp: Yes. Thank you, Izabel. So let me start with the net interest income. So we had a good start in the year. But as I said beforehand, so we expect -- I mean, we expect positive effects from the mortgage business, from the consumer finance business. We also expect positive effects from our deposit charging, specifically on the Corporate Clients side but also on the private client side. However, we have basically other sectors basically burdening the net interest income, which is specifically what I said, the focusing measures within Corporate Clients and the RWA optimization effort we have here. And that brings me to your second question, what do we expect with respect to the revenues? We definitely expect further growth on the net commission income. So the trend which we have seen already in 2020, which was very promising, we definitely are convinced that this will continue in 2021, but it will most likely be not able to fully compensate for the net interest income drag we expect. And you all know that any real guidance on fair value results and revenues is very, very tough to do. On the loan loss guidance, yes, I know the range is pretty high, 0.8 to 1.2. And it really depends on how the crisis is developing, what the impact really on the economic development is. What you should know is that, I mean, our economists assume that after a tough first quarter, there will be a recovery and we will see a 4.5% increase in GDP. We have not included that when basically doing the TLA for 2021 because we included only a 3% growth expectation, which is based on the ECB scenario. So we have been rather conservative on that side. But where we end up within this range really depends on the coming months, I'm sorry to say. So it's tough to give a guidance. Probably would always probably end up in the middle. If you're unsecure whether it's €0.8 billion or the €1.2 billion, then probably the best guess is to take the €1 billion. But that's probably your spreadsheet.
Operator: The next questioner is Mr. Johannes Thormann of HSBC.
Johannes Thormann: Three questions from my side, if I may. First of all, I have to come back on net interest income. Was Q4 now the low in terms of absolute level of net interest income? Or do you expect further declines in 2021? After the year, it started pretty well -- or last year, it started pretty well. And in terms of this, have you already stopped those strange free-of-charge loan trials for corporates for 6 months? Or is this only part of the new strategy? Secondly, our German Chancellor, Ms. Merkel, fears the impact of a third lockdown if the mutations of the COVID-19 virus are stronger. Is your loan loss guidance already factoring in such a third lockdown? Or would this come on top of it as a scenario? And last but not least, in terms of the tax guidance for 2021, could you provide a bit more details on this? And then also probably what a normalized tax rate for the next years would be.
Bettina Orlopp: Yes. Thank you, Johannes. So on your first question on NII and Q4, yes, we have definitely seen a low. I think it's important to know that the NII drop in Q4 is not due to PSBC and Corporate Clients. It mainly comes from Others & Consolidation, where we have the usual swing between NII and at fair value, and they basically offset each other. And this time, the swing is somewhat larger due to some additional hedging activities in treasury. So I would say Q4 is probably not the basis to be used for further outlook. I mean the free of charge thing, it's -- it has been already clear in 2020 that we focus on RWA optimization. And we will make it also this afternoon, very clear that profitability comes [Technical Difficulty] and that means that on Corporate Clients, we will have a very strict RWA management with respect to RWA efficiency because we can't afford to do business which is below a 3% RWA efficiency, basically. Your second question with respect to the third lockdown. It's not included in the TLA. The TLA includes basically that first quarter will be difficult and then you will see a recovery. But our range, which we have, and this is why we have this broad range of €0.8 billion to €1.2 billion clearly reflects the insecurity we currently have with respect to the economic development. I mean we also have to be clear that we don't see a lot, even after the reinstatement now of the insolvency law, yes, insolvencies went up a little bit, but only slightly. So we really need to monitor how things are developing over time. We all know that there are specific sectors which are specifically burdened by the crisis and we will see defaults there. And that is what we priced in. But the rest, we probably need to be cautious and closely monitor. On the tax guidance, let me start with what is a normalized level. I would assume that the normalized level will be something between 20% to 30%. This year will be special. We will have, again, restructuring charges to be booked. And we also assume, based on the planning, et cetera, that we will see some DTA effect, positive ones. So overall, but guidance on tax is always difficult, as we all know. We expect rather a positive contribution by tax this year than a negative one. But as said, tax results are always difficult to predict.
Operator: Next, we have Mr. Stuart Graham of Autonomous Research.
Stuart Graham: I had three, please. Firstly, on capital. And then two on net interest income, sorry to keep on net interest income. On capital, what are you baking in, in your 12% CET1 guidance for mBank? I mean if they have to take that extra PLN 4 billion they talked about on FX reserves, is that in there? Because I think that could be like a 20 to 30 basis point hit for you. And then there is some talk that you may have to re-cap them as well. And then on net interest income, at the Q3 stage you will very definitely be booking the TLTRO III benefit. But now you sound a bit less clear. Can you confirm that you will definitely be booking the TLTRO III benefit and that's in your guidance? And then the second question on net interest income is, can you give us an update on the benefit from charging customers negative rates in 2020? And what you expect for 2021 from charging customers negative rates.
Bettina Orlopp: Yes. Stuart, so related to your three questions. Question number one, on the capital ratio, which we guide now above 12%. I mean in what we have -- it is quite a way from 13.2% down to 12%, and that has a lot to do that we are -- first of all, we know that we will book additional €900 million for restructuring charges. That will have an impact, that's for sure. Second, we also believe that given where we are with respect to the corona pandemic, that there will be more rating migrations to come. We also know that there will be an effect based on TRIM. The mBank topic is a different one. First of all, I think the PLN 4 billion you're referring to, which is PLN 4 billion, important to say, so approximately €1 billion, it's just a scenario calculation and a reaction to the proposal of the KNF back in December. That has been now highly disputed. Anyhow,I think the Director of the National Bank made a very clear statement what he thinks about the proposal. And I think we all need to wait until the Supreme Court decision will happen end of March and then we will know more. We haven't included any effects in our guidance so far because by the booking of the €229 million in 2020, and specifically the €113 million in Q4, based on what we currently see on court decisions and lawsuits, we expect to come in still.  So we also provisioned for future lawsuits to come in. We feel well equipped with respect to the reserves. But all depends now on the Supreme Court decision. It might be that we booked too much. It might be that we are spot on. It might be also that we still have to book something. The good thing is really, and I think that is the most important thing, that if there is a clear decision, which we all hope for, we at least have clarity, which would be really beneficial on this topic after all these years of discussions and lots of volatility, I have to say. On the second question, the TLTRO benefits. I mean we are cautious on that, to be very honest, because, I mean, I didn't book it already in -- or parts of it in 2020 because we really wanted to be sure that we get it by the end of March. And we are working on it. And -- but I think we just have to wait because we also see that the liquidity needs of our clients have decreased. They basically wait for the end of the lockdown before they really do investments, and that we see. And we have a clear strategy of RWA optimization, so I can't go out and do some stupid things with respect to either risk or profitability. So yes, we will see it at the end of this quarter, whether we book it or whether we can't book it. And on the third, benefits from charging deposits. On the Corporate Clients side, as you know, we have approximately 95% of our clients we have agreements with, and it's about €130 million of revenues, which we -- which we got in 2020. And we expect a slight decrease in 2021. On the PSBC side, we started the effort basically in 2020, then paused it during the first lockdown. Took it up again. You all know that we need to have bilateral agreements with our existing clients. So that takes a while. We have a threshold now in -- of €100,000. The benefit in 2020 was really low. It was a single-digit million number. It will be a higher number in 2021, but clearly not at this similar level as what you see on the Corporate Clients side.
Stuart Graham: Okay. Can I just confirm then, when you -- your NII guidance you're giving now, it seems no TLTRO III benefit, you're being cautious, if you get it it's on top, but if you don't get it, it's embedded in your guidance?
Bettina Orlopp: It's embedded in my guidance, yes.
Stuart Graham: Of now getting it?
Bettina Orlopp: Well, it's basically -- I mean, we are cautious anyhow on the revenue side. So my guidance currently is that we will be slightly lower than in 2020. That's the guidance.
Operator: We still have few questions. And next question comes from Mr. Jeremy Sigee of Exane.
Jeremy Sigee: Just a couple of follow-ups for me, please. And they are still both on revenues, I'm afraid. Firstly, just could you confirm that your revenue outlook comment, when you say slightly lower, are you referring to the as-reported number of 8,186 or the adjusted revenue number of 8,447? What's the base number that you're going to be slightly lower than? And then the second question, which I'm afraid still is on NII. If I look at NII in the corporate center, as you rightly say, that's obviously where the movement is, in Others & Consolidation. And it's swung around quite a lot from quarter-to-quarter during the year, from sort of €186 million NII at the beginning of the year down to €82 million. And I just wondered what we should see as a kind of going forward representative run rate for NII in Others & Consolidation.
Bettina Orlopp: Okay. Thank you, Jeremy. I mean on the revenue outlook, yes, you should take the reported number. So the one which we see the €8.2 billion number. And on Others & Consolidation, I fear, given that there is such a volatility and we have treasury included in there, I would love to stick to the guidance with respect to the Others & Consolidation results, which we assume is around minus €150 million, because, as you said, there's a little volatility in there.
Operator: Next question comes from Ms. Anke Reingen of RBC.
Anke Reingen: Yes, I just actually wanted to ask about the corporate center about the minus €150 million, but you basically just confirmed it. And I just -- I mean, I'm still a bit confused on the NII, to be honest. So the TLTRO is not -- you don't assume in your guidance it is included. And basically, Q4 is a trough, which basically means you talk about core pressure in the core divisions, but the other parts recovering. Do I understand this correctly? I mean I guess you have in your guidance of the minus €150 million for the corporate center, I guess, you have embedded something for NII. If you maybe just can clarify. Sorry.
Bettina Orlopp: Well, first of all, I mean, just to put it straight, I mean, we assume that we will get the TLTRO revenues. That's our target. What I'm just saying is we will not do any nonsense to achieve it. And therefore, I will book it when I have it. So that's this point. On Others & Consolidation, in the €150 million, I mean, Others & Consolidation contains a lot of things. It contains fair value results, NIIs. The treasury is in -- completed in the Others & Consolidation. But also things like our Commerz Venture fund, we show it within Others & Consolidation. So there are a lot of things going on there. And therefore, we want to stick to this overall guidance of minus €150 million and not guide anything on specific line items.
Anke Reingen: But the NII of 1,151 in Q4 should be a trough?
Bettina Orlopp: Yes. I mean, I said that the NII in Q4 was specifically impacted by this swing factor, and it was special for Q4, that's for sure. Yes.
Operator: We have one more follow-up question of Ms. Dobreva.
Izabel Dobreva: I have a follow-up question on the TLTRO, just to be clear. Could you give us a sense of where you stand currently relative to the benchmark? Because it's a little bit hard to tell from your disclosure whether you're above the benchmark, specifically in SMEs and the domestic German corporate business. So could you give us a run rate of where the growth is currently so we can sort of judge how likely it is that the benchmark will be met?
Bettina Orlopp: Well, as you know, I mean, there's a lot of ongoing, specifically the corporate client portfolio, which is the one. We also know that there are quite volumes quarter-by-quarter which needs to be prolonged, so which needs to have a prolongation in. So therefore, it's tough to say. So we talk about approximately, yes, €1 billion, €1 billion, which is necessary to secure, besides prolongations clearly.
Operator: Next, we have Mr. Nicholas Herman of Citigroup.
Nicholas Herman: Yes. Two questions and a follow-up, please -- or first on the follow-up, actually, because my next question has been asked. But just -- sorry, maybe I'm being slow on NII, just on the TLTRO, on your guidance for slightly lower revenues in 2021, what amount of TLTRO roughly are you embedding in the guidance if you are assuming some TLTRO? Is it the full 1 60? Or is it less than that? Second question on risk on impairments. I noticed that your -- after your top-up, stage 2 coverage has fallen from 2.1% at 3Q to 1.9%. And that the coverage increase has only been in stage 3, which are clearly your problem matters. So just what -- I understand, I know that you have a €500 million TLA. But why is a 1.9% total coverage ratio in stage 2 appropriate? And just roughly in terms of the macro outcome, what sort of macro outcome would drive the upper end of that guided range, please? And then the final question is, you now target a minimum CET1 of 12%. That's a 250 basis points buffer to MDA versus the previous guidance of a 200 basis points buffer. So clearly you do have a healthy buffer to that MDA already. But just curious, in terms of the delta of the 200 basis points to 250 basis points, is that something that the regulators asked you to do, given the large restructuring? Or was that your own initiative? And can you see that buffer to MDA falling again to 200 basis points over time as the restructuring is completed?
Bettina Orlopp: So thank you, Herman. On TLTRO, I mean, this is -- it's a 0 or nothing -- no, sorry, nothing or all game. So either we meet the requirements and we get the full €160 million or we do not meet the requirements and then it's 0. That's basically it. And we included clearly the €160 million, which is based on the 50 basis points benefit and the fact that we took €32 billion TLTRO volume. On LLPs, I'm not entirely sure that I got your question, but I understand that you asked why is stage 2, is that big enough or not? I think it's important to state that the TLA is mainly for the stage 2 bucket. So that probably explains it. And then third, the larger than 12% -- I mean, the midterm guidance is clearly the 200 to 250 basis points. But as you said, we are in the middle of a transformation program.  And so therefore, we first want to reinstall the -- restore the profitability. And I think the 200 to 250 basis points is a very good guidance if we have profitability levels of the ones which we target for 2023, 2024 of the 7%, the 60% cost-income ratio, because that means that we have enough profitability, that if there are extraordinary effects, we can basically finance them out of our profit. And I think that is the most important part. And then we will talk about that this afternoon. I'm pretty sure that we will use the opportunity of capital measures. If our capital ratio is at the levels which we currently assume for the years 2023, 2024, then we will definitely see something. But more to come this afternoon.
Operator: Next, we have Mr. Riccardo Rovere of Mediobanca.
Riccardo Rovere: Just to get back one second again on TLTRO, which continues to be a bit confusing to me. Just to make a recap, Q4 does not include the TLTRO. That's the only thing I've clearly understood. In your guidance, is TLTRO included, yes or no? If it is included for 2021, is that included at 50 basis points remuneration of the €32 billion? And if it is 50 basis points, why 50 basis points when the conditions have been further sweetened by the ECB at 100 basis points for a certain period of time and also lengthened the sweetening, as lengthened too recently by the ECB. And still related to that, even if it is €160 million, it is, given the outlook that you're providing for revenues, €160 million would be a kind of low-hanging fruit. So I struggle to understand, it's not clear to me why you're not doing as much as you can to grab this €160 million given that rates are -- you had -- you have the TLTRO III because rates are below 0. So there is nothing wrong in getting the benefit from TLTRO III, every bank in Europe is basically doing it. So I don't understand why you're not doing the utmost to get it. The second question I have is on your risk guidance. The TLA is today allocated to single positions. So when you look -- when we look at the coverage ratios of stage 1, stage 2 and stage 3, is the TLA, €500 million TLA allocated to single position? Or is yet to be allocated? And on that, your risk guidance in 2021, let's take €1 billion, the middle of the range. It imply -- does it imply is the TLA -- given that the TLA is roughly 1/3 of the risk costs you have charged this year, to get to another €1 billion, you would need a sudden deterioration of asset quality, which I'm not saying is impossible, but it sounds a bit, I don't know, a bit surprising to me given that in Germany, and you state that, you got no moratoria, so there is no holiday payments, the success of the credit guaranteed by the government is limited, as you show. So why all of a sudden you should have this deterioration with that we shouldn't have already seen? It's because Germany you think is going to stop the subsidies and all these government support measures? Thanks. If you can elaborate a little bit or just have your opinion on that.
Bettina Orlopp: Okay. Thank you very much, Riccardo. So on the TLTRO, I try it again. So yes, Q4 does not include any revenues from TLTRO. So if we book it, and it's included in our guidance, we will book full effect of €160 million. And we only talk -- I mean, the 50% basis point we anyhow have included. But what we talk about is the difference between 100 basis points and 50 basis points minus. And that's the benefit which we only book when we meet the requirements by end of March. And we do everything to get it, but we don't do stupid things. And if my CRO would sit next to me, he would definitely confirm that. Because he doesn't want to have any risk in his portfolio which he then again has to explain to the outside world. So yes, we do everything, but we don't do stupid thing and we stick to our strategy. So that, I think, is important. But let me assure you, all hands are on deck, and we definitely want to secure that -- the €160 million. So it's not that we do not want to have it. And I didn't want to give this impression. Second, on the risk guidance, the TLA, if you look at it, it's partly allocated to private clients. And they're specifically to the small customer clients which we have in private clients. That is not really dedicated to single positions and addresses, et cetera. That's basically based on our macroeconomic assumptions and what we see for certain sectors. The larger part of the TLA is clearly allocated to the Corporate Clients segment. And there, we did in December really a review of each and every position which we have in our book and did a review on that. So that one is much more really also can be attached and allocated to single positions. So why are we so -- I understand your question that you feel that we are very conservative on our loan loss provision guidance for 2021. To be very honest, it's just the thing -- I mean, I totally agree with you, we probably have in Germany one of the best markets. We have great government programs. And so far, companies are holding up very, very nicely. But we should just acknowledge that if you look on the insolvency rate in 2020, that has been lower than any year before. So we will have also some effects to recover from this lower number in 2020. That's number one. And #2 is, we don't know when this crisis is over. So we are just -- we are just very cautious and conservative in our assumptions, because we rather want to create a positive surprise than a negative one. I think that is currently the strategy. But this is also why we give the range. I mean, me as a CFO, I definitely want to see us in the direction of €800 million LLPs. If you would ask now the Chief Risk Officer, if he would sit here, he's always more on the cautious side, he would guide you in the direction of 1.2 just because of his nature and his job profile. So it's very hard to tell.  And a lot depends now on how fast vaccination goes and how fast we all kind of return to normalized. But I fear we will see some defaults even in Germany.
Riccardo Rovere: Right. And just -- and then I'll stop, I promise. Just to be clear, the €500 million TLA, technically I should see things stage 1 and stage 2 coverage ratios in the -- right, is not allocated to single position. It's a kind of overlay, but on stage 1 and stage 2, when I look at it there is one slot...No?
Bettina Orlopp: On the corporate -- I mean on the Corporate Clients, you have to differentiate, we've made the difference in private clients and Corporate Clients. Private clients, you can't allocate. But on the Corporate Clients side, we did it on a -- based on a portfolio review. And this one, you can basically definitely allocate to stage 2. Ladies and gentlemen, I think we now need to finish up this session, but I'm sure we all will meet again this afternoon, hopefully. I know that we couldn't take all questions, unfortunately. But please either follow up this afternoon or we -- basically, you will have the opportunity to talk to my IR colleagues or myself over the next days. And thank you, and see you, hear you this afternoon. Bye-bye.